Operator: Ladies and gentlemen, thank you for standing by. Good morning, and welcome to the Choice Hotels International 2Q 2013 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. During the course of this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the company and its results, which constitute forward-looking statements under the Safe Harbor provision of the Securities Reform Act of 1995. These forward-looking statements generally can be identified by phrases such as Choice or its management's beliefs, expects, anticipates, foresees, forecasts, estimates or other words or phrases of similar import. Such statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Please consult the company's Form 10-K for the year ending December 31, 2012, and other SEC filings for information about important risk factors affecting the company that you should consider. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels of activity, performance or achievements. We caution you, do not place undue reliance on forward-looking statements, which reflect our analysis only and speak only as of today's date. We undertake no obligation to publicly update our forward-looking statements to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial results referred to in our remarks as part of our second quarter 2013 earnings press release, which is posted on our website at choicehotels.com, under the Investor Information section. With that being said, I would now like to introduce Steve Joyce, President and Chief Executive Officer of Choice Hotels International Incorporated. Please go ahead, sir.
Stephen P. Joyce: Thank you. Good morning. Welcome to Choice Hotels' second quarter 2013 earnings conference call. With me this morning is Dave White, as always, our Chief Financial Officer. I'm pleased to report and share our second quarter results. This morning we will update you on the financial performance of the core hotel franchising business and on the progress we're making with our key strategic growth initiatives. This includes the new mobile innovation that we announced this week, as well as the progress of our SkyTouch Technology initiative, a separate business division that we announced earlier this year. To preempt this, though, we are very satisfied with the core business results and they will continue to improve, along with our new growth initiatives for Cambria, Bluegreen, SkyTouch, and the reimaging of Sleep and Comfort, those brands, we believe leads to a very bright future for Choice. Overall, we're pleased with the performance of the quarter. The economy continues to grow at a modest but steady pace, and our business continues to grow as well. We're executing on our strategy and it is working. Several factors contribute to our results for the second quarter, as reflected in the key indicators we use to measure the performance of our lodging business. Franchising revenues increased 6%, driven primarily by an increase in our domestic royalties and a 39% increase in our initial and relicensing revenues, a very positive sign. Domestic royalty growth for the quarter was driven primarily by a 3.5% increase in RevPAR, a 1.9% growth in the number of domestic hotels under franchise and a 3-basis point increase in our effective royalty rate. Initial and relicensing fee revenue reflects the execution of 104 new domestic hotel franchise contracts during the second quarter compared to 106 new domestic hotel franchise contracts for last year. In addition, the company also achieved a 34% increase in relicensing and renewal transactions. Turning to development, we're pleased that development is up 10% system-wide so far this year, and we remain optimistic that the development results will continue to outpace last year's results. Our brands continue to be attractive to franchisees. So far this year, conversion Franchise Sales have outperformed new construction sales and have consistently outpaced last year's results. Year-to-date, domestic conversions are up 15% system-wide. Since the beginning of the year, we executed 163 domestic conversion contracts compared to 142 during the same time last year. We also see financing and lending continue to improve gradually as lenders and developers show more interest in undertaking new construction projects. We expect Franchise Sales activity to increase as we move through the summer and into the fall. There are a number of areas on the development and brand front that we are particularly excited about across our brands. First of all, with Ascend. Our Ascend Hotel Collection continues to be very strong, with exceptional upscale properties in great markets affiliating with us. The rate and quality of conversions speak to the power of our industry-leading distribution channels. Independent upscale hotels are recognizing the value we offer them and it is particularly evident with the results of our Ascend Hotel Collection. In May, we announced our 100th Ascend Hotel, the Hotel Elan in Calgary, Canada. This is up from less than 20 in a short 2.5 years. During the second quarter, we added a total of 11 new Ascend Hotel membership agreements compared to 2 last year, Ascend Hotels are receiving a reservation contribution close to 50% from Choice Hotels, the highest among the Choice brands. And guest satisfaction is also amongst the highest in our portfolio. Simply put, Ascend is on fire. Cambria, our suite brand, is also doing well. We expect to have about 30 Cambria Suites properties open or under construction by the end of 2013, including high visibility markets like Chelsea in Times Square in New York City; White Plains in New York; Miami, downtown Washington, D.C. near the Convention Center; Plano, Texas; and one coming out of the ground right next to our new global headquarters in Rockville, Maryland. New types of markets and a new day for Cambria is going to really push that brand forward. This quarter, we also announced a major milestone for Cambria Suites. We reached an agreement in principle to create a joint venture with the private investment firm of Fillmore Capital Partners, and its affiliates to develop multiple Cambria Suites. This marks the brand's first institutional investor, underscoring the confidence that developers have already expressed for the emerging brand's potential. Let's talk a little bit about Sleep Inn. Our Sleep Inn brand is on a roll, as it continues to make great progress with the brand's new design prototype, which we call Designed to Dream. Sleep Inn recently reached 100 hotels with the new design concept, and even better, these hotels are enjoying RevPAR premiums over the rest of the Sleep properties. It is a remarkable event when they finish their reimaging and immediately see a $10 increase to AdR. Due in part to the success of Designed to Dream, Sleep Inn experienced RevPAR gains of 7% during the second quarter of 2013 compared to the same period last year, with a little over the quarter of the system completely done. In addition, guest satisfaction surveys have found that Sleep Inn's guests are very likely to recommend the brand to their friends. This is also a brand to watch. Turning to distribution, we have a number of updates. On the reservations front, our central reservation system is on pace to have another record-breaking year. Just last week on July 15, we had our highest revenue day ever at more than $13 million. So far this year, we have exceeded $12 million, 12x compared to 3x in 2012; $11 million, 28x versus 19x last year; and $10 million, 61x, only 2 shy of the 63x achieved for the entire year of 2012. I'm pleased to report that we continue to build the infrastructure to help sustain this type of success. This week, we launched a mobile innovation that greatly simplifies the process of making hotel reservations using a mobile device. The mobile enhancement, called Rapid Book, makes mobile booking easy. Customers simply enter their information one time when completing their online profile. After that, they're ready to book quickly through the Choice Hotels mobile website. Rapid Book recalls a guest room's preference, a guest room preference, provides similar rooms for future searches and it recalls payment information. Guests spend less time entering data on their smartphones, a particular pet peeve, and can complete reservations in a fraction of the time and number of clicks that it previously took. Today, in part because of our mobile innovations, our mobile revenue is up significantly year-over-year, and mobile makes up a rapidly growing portion of the company's industry-leading online revenue. Our guests are constantly changing the way they shop and book for travel. Choice is tracking right along with this trend, levering our core information and distribution competencies to provide innovative tools so our franchisees can reach customers who are embracing new mobile and booking technology as it rapidly evolves. Changing gears, I want to talk about SkyTouch Technology. We are particularly excited about this new division of Choice, which we announced earlier this year. SkyTouch develops and markets cloud-based technology products to the hotel industry. The first SkyTouch product that has gone live since the last earnings call was launched to the marketplace at the High Tech Conference just a few weeks ago. The new product called SkyTouch Hotel OS is a system for handling reservations, guest stay information, folios and rates. Unlike many other property management systems, it is highly scalable, has comparatively low upfront cost and requires minimal investment in IT hardware and related ongoing maintenance cost due to the fact that it is based in the cloud. SkyTouch Hotel OS was very well received by the industry during the High Tech Conference, and we are very happy to share that the SkyTouch has signed up its first customers and developed a pipeline of strong interest from hotel brands, large and small, and independent hotel owners. We are pleased about SkyTouch's progress thus far in such a short amount of time, and we will keep you updated as the year progresses. Overall, we're very pleased with the progress during the second quarter on a number of fronts. We continue to be pleased with the performance of our core hotel franchise business and we remain bullish about the possibilities to create value for our shareholders through our core business, as well as growth initiatives, including SkyTouch. Let me turn it over to Dave White now, who's going to provide more detail on our results. Dave?
David L. White: Thanks, Steve. As you read in this morning's press release, we reported diluted earnings per share of $0.48, which exceeded our previously published outlook for the quarter by $0.03 per share. Most of our earnings per share outperformance for the quarter or $0.02, is attributable to better-than-expected operating income results. These results were driven by higher revenues from initial and relicensing fees and from procurement services. Together, the revenue outperformance in those 2 areas more than offset lower-than-anticipated domestic royalties attributable to a slower-than-contemplated RevPAR growth rate. In addition to exceeding our expectations at the franchising revenue line, our SG&A expenses for the quarter were less than we had anticipated as a result of a delay in the timing of certain expenses that we now expect will occur in the back half of this year. The remainder of earnings per share outperformance or approximately $0.01 per share is attributable to a lower effective tax rate than we had previously expected. Our franchising revenues for the quarter increased by 6% to appropriately $83 million for the quarter, which represents an acceleration of the pace of franchising revenue growth from the 4% growth rate we achieved in the first quarter of this year. Included within franchising revenues, our domestic royalty revenues increased by 4% to $62.2 million due to a combination of increases in RevPAR, our system size and our average effective royalty rate. Domestic RevPAR growth for the quarter was 3.5%. This result was 50 basis points less than our guidance for the quarter, which was for 4% domestic RevPAR growth. And as a reminder, our RevPAR results for the second quarter reflect our franchisees' gross room revenue performance for the months of March, April and May. Our RevPAR results were lower than our guidance as industry RevPAR growth was slightly softer than expected due to weaker GDP growth than economists had previously forecasted, and weaker RevPAR results in interstate and small town markets where Choice has a comparatively larger share of room supply. Choice's RevPAR growth in those types of markets was around 2% based on lower demand growth and less pricing power compared to more urban markets. Our 3.5% domestic RevPAR growth was driven by a combination of a 90-basis point increase in system-wide occupancy and a 1.8% increase in our average daily rates. And while we were disappointed with the overall pace of RevPAR growth, at the brand level, there were a couple of highlights. We were very encouraged with the RevPAR performance of our Sleep Inn system, which continued to generate meaningfully above average RevPAR growth. The Sleep Inn brand RevPAR increased 7% compared to the prior year, reflecting the benefit of our Designed to Dream program, which has been very well received by developers and guests. Another brand highlight is with our Ascend collection, where RevPAR results were also encouraging, with continued RevPAR growth in excess 5%, driven by average daily room rate -- average daily room rate growth of than 9%. These results reflect the strong contribution of our brand to our hotel owners and highlight the strength our distribution platform in driving great results for hotel owners in the upscale and mid-scale segments. On the supply front, we achieved domestic franchise system growth of approximately 2% over the past 12 months, though we expect our full year unit growth for 2013 will exceed our previous expectations. And finally, our average systemwide effective royalty rate for the domestic hotel system increased 3 basis points to 4.35% for the second quarter of 2013 compared to 4.32% of last year, primarily due to the burn-off of some of the steeper royalty rate discounts given in conjunction with our franchise development incentives in place during the past several years. On the franchise development front, another highlight for the quarter was the continued strong growth in initial and relicensing fee revenues. These revenues increased by 39% to $4.4 million for 3 reasons. First, a lower percentage of new franchise agreements executed in this year's second quarter compared to last year, incorporated developer incentives resulting in revenue recognition at the time the contract is executed rather than at the time the hotel opens. In addition, our second quarter 2013 initial fee revenues reflect a year-over-year increase in revenue recognized related to previously deferred initial fee revenues tied to incentive deals for hotel openings into the system during the quarter. And finally, we achieved a year-over-year increase in the number of relicensing agreements executed. During the first quarter of 2013, we executed 104 new domestic Franchise Sales contracts, which overall is less than we had expected, primarily as a result of a still-soft new hotel construction environment. And while new contracts executed in the second quarter from new construction hotels were lower than the prior year, keep in mind that we had previously seen 7 straight quarters of year-over-year increases in new construction contracts, and we are optimistic that this overall trend will continue over time. We expect actual domestic hotel openings from previously executed new construction Franchise Sales to increase this year. Our current estimate is that new construction openings will increase 33% from 27 to 36 hotels this year. So we remain optimistic that the new construction environment, while choppy, is continuing to gradually improve. Conversion Franchise Sales contracts continued to improve and achieved their 6th straight quarter of year-over-year increases. These contracts increased 6% for the second quarter, primarily due to continued success in growing conversion Franchise Sales of our flagship upper mid-scale Comfort brand, which more than doubled conversion Franchise Sales during the quarter. The new domestic hotel Franchise Sales of our upscale Ascend Collection increased fivefold to 11 executed contracts for the second quarter compared to 2 for the comparable period of last year, and also improved sales of our economy segment, Econo Lodge and Rodeway brands, whose combined sales increased in the second quarter by more than 15%. In addition, the number of domestic relicensing and renewal transactions continued to improve, increasing 34% to 63 contracts. This represents a positive sign for hotel transactions and that has historically correlated well with Franchise Sales improvement. Turning to the cost side of the business, our SG&A cost for the second quarter increased by $5.6 million or 23% compared to the same period last year. This rate of SG&A growth is significantly higher than our long-term SG&A growth expectations for the core business, and there are a few items contributing to the higher growth rate that are worth pointing out. We summarized in the release a few specific items that contributed to our second quarter SG&A, including the impact of our recently announced SkyTouch Technology division, cost related to our second quarter headquarter relocation, and variable cost directly related to increased initial fees and procurement services revenues. Those 3 items explain appropriately 2/3 of the SG&A expense increase. Excluding these items, our SG&A increased by approximately 8% for the quarter and 3% for the year-to-date period. We still expect full year SG&A, excluding these items for the full year, to increase in the mid-single-digit percentage range. Diluted earnings per share were $0.48 for the second quarter of 2013 compared to $0.55 per share for the second quarter of 2012. As a reminder, our second quarter and year-to-date results reflect an increase in borrowing costs, resulting from the special cash dividend paid last August of $10.41 per share or appropriately $600 million in the aggregate to our shareholders. As a result of the financing transactions entered into at the end of the second quarter and the beginning of the third quarter of last year, our interest expense increased by approximately $7.3 million during the second quarter of 2013 and nearly $15 million year-to-date. Turning to our outlook, for the remainder of 2013, we currently expect third quarter diluted earnings per share to be $0.66 and full year 2013 diluted earnings per share to range between $1.84 and $1.87 per share. We expect full year 2013 EBITDA to range between $203.5 million and $206.5 million. The figures assume our domestic system-wide RevPAR increase for the third quarter is 3% and ranges between 3.5% and 4.25% for full year 2013. We have reduced our full year RevPAR range from our previous guidance of 4.5% to 5.5%, primarily due to the recent downgrade by economists of GDP forecasts for the remainder of the year, and in addition, recent industry RevPAR has slowed somewhat with Smith Travel Research reporting RevPAR increases in the mid-scale and economy segments of about 3.7% over the past 28 days ending July 20. Given current forecasts for the economy, we don't expect to see any significant acceleration of RevPAR growth in the back half of the year, but we expect it to remain positive. We expect our net domestic unit growth for 2013 to increase by approximately 2% and our effective royalty rate to increase by approximately 2 basis points. We also assume an effective tax rate of approximately 29.5% for third quarter and 30% for full year 2013. All figures assume the existing share count, which was approximately 58.5 million shares as of the close of business yesterday. Our new full year EBITDA guidance reflects our expectation that the pace of RevPAR growth for the year will be approximately 100 to 125 basis points slower than we previously thought. As a reminder, each 100-basis point change in RevPAR growth rate represents approximately $2.5 million of EBITDA. At the same time, we are expecting a higher level of unit growth for 2013, which is partially offset by an improved outlook for current year next -- for next year's unit growth. Finally, as I mentioned earlier, our new EBITDA outlook also reflects the timing of expenses, and certain costs that we expect to occur in the second quarter are now anticipated to occur in the second half of this year. The operating assumptions that we are making in our current outlook related to our incremental investment in the SkyTouch Technology division are unchanged from the outlook we provided with our first quarter earnings release in April. We continue to believe SkyTouch represents a meaningful growth opportunity for us in a line of business adjacent to our core hotel franchising business. And as Steve mentioned, we are very pleased with our initial progress with this initiative, including the execution of contracts and on-boarding of our initial SkyTouch customers. And now, let me turn the call back over to Steve.
Stephen P. Joyce: Thanks, Dave. Overall, we're pleased with the results this quarter. It continues to be slow, but steady improvement in the economy that is reflected in the consistent growth of our businesses. I want to thank you for your interest in Choice Hotels. We believe we are successfully implementing our strategy in our core business and other growth strategies such as SkyTouch, and feel optimistic about our continued long-term growth and our ability to drive excellent results for shareholders. With that, I'm going to open it up to questions and answers.
Operator: [Operator Instructions] The first question comes from Ms. Robin Farley of UBS.
Arpine Kocharyan - UBS Investment Bank, Research Division: It's actually Arpine on behalf of Robin. I just wanted to ask about the EBITDA guidance. It seems like even with RevPAR guidance down, EBITDA guidance x SkyTouch is up? Could you walk us through what's driving that? I understand unit growth is up, but profitability per unit looks like outlook is down?
David L. White: Yes, overall, I would say that the SkyTouch outlook on the cost side is unchanged. We're modeling, I think, $12 million to $14 million. The overall, which I think when you back into it, actually you would see that it's kind of a midpoint, our EBITDA outlook came down by about the amount of the RevPAR decline. We narrowed the range a little bit, just given the fact that we're about halfway through the year. So I would say, we've only got another 6 months to go rather than where we were at the end of the first quarter. That's kind of -- but at the end of the day, I think the primary thing is being driven by the RevPAR impact. So I think when you back -- when you go through that model, that's kind of where you'll come out.
Arpine Kocharyan - UBS Investment Bank, Research Division: Okay. And then on SkyTouch, do you have more clarity to share in terms of customers and general sort of revenue streams? How many hotels you're in discussion with outside the Choice system?
Stephen P. Joyce: Yes. So in terms of the pipeline for SkyTouch, as we mentioned, we have executed our first few contracts and we're excited about that. We brought our first customer online, and it's pretty early still, obviously, in the process because the High Tech Conference where we announced this was really just last month. But the interest from multiple tiers of customers, the hotel, individual hotel owner/operators, as well as kind of the smaller brands and some larger brands has been very positive. But I think it's premature to kind of publish pipeline numbers at this point. But as the course of this year progresses and the next couple quarter, we'll give you a little more detail in that area.
David L. White: But you can assume that we're in discussion with folks that represent thousands of hotels.
Operator: The next question is from the line of Ms. Felicia Hendrix of Barclays.
Anthony F. Powell - Barclays Capital, Research Division: It's actually Anthony Powell here for Felicia. Just a quick question on unit growth. Your unit growth results and your guidance were both impressive. How promotional is the new-build and conversion markets, how are both of them right now? Are you seeing any of your competitors increase the amount of incentives given for new contracts --
Stephen P. Joyce: Well, yes, in the overall business, on both sides, both new construction and on the conversion side, we're seeing people being pretty aggressive on the development side, including incentives. But they're still the typical types of incentives that we're doing, which is an increased ramp-up type activity. So -- but we are seeing people being more aggressive in the marketplace. The encouraging thing about the new-build market is it, particularly in some of the markets we're most interested in, you're starting to see a nice upswing from a number of the other hotel companies as well. And so we're encouraged not only by our results, but also by theirs in the sense that it appears that the financing market is coming back. And that because we're typically looking at more tertiary markets, we'll benefit from that on somewhat of a lag. But based on the overall volume that we're seeing from other companies and from our own, we're pretty encouraged about it's finally moving.
David L. White: Yes, I think the other thing I would add is just on the conversion side of things. If you think about where we are now in terms of development incentives, we're definitely -- while there's definitely -- it's a competitive marketplace and there are -- every one of our competitors has some form of incentive program in place. On a relative basis for us, we're relatively less discounting, I would say, than we were 2 years ago, which I think is a positive sign as you think about the future and how that should play out in our royalty streams. And then another thing that I think is pretty exciting is on the Ascend Collection. So that brand, as Steve mentioned, has grown very rapidly. And you've probably heard us talk on previous calls about growing brands to scale and getting to meaningful scale. That brand is, in our mind, now at a pretty meaningful scale, which starts to position us to be able to be more aggressive and more assertive on pricing as we move forward with that brand. And we think that's a really strong brand given what we're delivering to the hotels into that the system. If we look at the Rev contribution, it's the top brand on our platform in terms of Rev contribution, at a very high rate. So just kind of to tie back to your point, ultimately we're trying to continue to improve the overall pricing of our brands over time, and Ascend's in the real bright spot there. And I think, generally speaking on our conversion brands, we're having to discount less than we did a couple of years ago to move sales.
Operator: The next question is from the line of Thomas Allen from Morgan Stanley.
Thomas Allen - Morgan Stanley, Research Division: I thought it interesting in your outlook, you talked about your extracted growth to be moving forward at a moderate pace into 2014 when talking about RevPAR. How good a read do you think you have into 2014 and kind of why did you put that language in?
Stephen P. Joyce: We -- actually, we're relying more on the forecasters that are out there and what they're saying about it. Our booking window's actually, as I think most people know, very short. So it is more based on what we're seeing from the industry experts than it is from ourselves.
David L. White: Yes, the Smith Travel Research and PWC for '14 are, as an industry level, around 6% RevPAR growth. They haven't published kind of segment-level forecast at this point.
Stephen P. Joyce: And I'd also add to that. I think in general, most people are expecting '14 to start showing real signs of economic recovery and improved employment. And if you get those, those are -- that really -- that drives our business significantly. So I think most of us here are a believer that that's the trend that we think is most likely and that, therefore, that portends well for our performance.
Thomas Allen - Morgan Stanley, Research Division: Okay. And then just a follow-up. I read an article recently, I think it was by STR, suggesting that when the new-build market really does pick up, there could be some risk to conversion kind of being -- the conversion opportunity being offset, so that declining. Your recent or your historical data kind of suggest otherwise. Any thoughts on this?
Stephen P. Joyce: Yes, it's just the opposite for us because what happens is when the other brands start building, they start pruning their inventory. That's an opportunity for us as well. That's one of the areas that's still missing in large part from our conversion activity. Because the other brands, because they weren't adding, they stopped pushing out their hotels that weren't meeting expectations. So when they start building again, they'll start pushing brands out, that gives us opportunity to flag a lot of those properties and that will add to our conversion activity. So we're actually -- we actually think it's exactly the opposite of that.
Operator: And the next question is from the line of Nikhil Bhalla from FBR.
Nikhil Bhalla - FBR Capital Markets & Co., Research Division: Steve, just a question on the lending environment right now that you're seeing, both for conversions as well as for new development right now. How are new sort of hotel developers being helped by this environment? If you could just give a little bit more color.
Stephen P. Joyce: Yes, sure. So there's a couple of things going on. One, we talked over the last year last about the improving environment that we saw in the more urban markets. That's clearly now spreading more to the regional and local areas. And we're hearing a lot of stories about regional and local lenders calling up franchisees and saying, we've finally gotten an allocation for hotel lending, and if you guys are ready to build, we'd like to lend to you as well. So that's finally coming, albeit still slowly developing, but it's definitely moving that direction. The other real positive for us has been the SBA program. So we've got a lot of our folks using a lot of SBA funding, either as first and/or a part of the cash stack as a second, and they are -- we're obviously helping them do that. We've been active, actually lobbying the administration and the SBA, to make sure that they keep high levels of funding available and they try to limit sort of the amount of red tape and the limitations around doing that. And that's another very positive sign. Because that's sort of -- a lot of the projects that are going were today were in part SBA supported. And then there's some other activity out there, EB-5 financing with some other things that are also contributing somewhat. But generally, you're seeing the lenders getting back into the markets. It's actually getting competitive in the denser markets. And in the regional markets, in the local secondary, tertiary markets, they're finally beginning to see those local lenders kind of coming back to the table and starting to allocate dollars for hotel development. And that would include both new construction, as well as conversion. Actually, the conversion, as would be expected, was a little ahead of the new development.
Nikhil Bhalla - FBR Capital Markets & Co., Research Division: And are these mostly sort of community banks at this point?
Stephen P. Joyce: Yes, for our guys, it is. Our guys, they range -- our bigger franchisees will do more on a regional or national level. But most of our rank and file folks are -- it's local lending institutions they're working with.
Nikhil Bhalla - FBR Capital Markets & Co., Research Division: Got it. And then just a follow-up question on your second quarter performance. What is any specific sectors that were a little bit weaker than others?
Stephen P. Joyce: Well, we kind of highlight in the exhibits, like from a RevPAR performance perspective. I mean generally speaking, we highlighted kind of that Sleep Inn kind of brand, the position where that's in that mid-tier space, I mean, that performed well for us. And then in the upscale side of things with the Ascend Collection on the RevPAR side of things. So otherwise, the rest of the brands were generally within a fairly narrow range in kind of that mid-single-digit percentage area RevPAR growth-wise. So other than the upscale and the Sleep Inn, I'd say most of the other brands were reasonably close together in terms of the RevPAR growth rate for the quarter.
Stephen P. Joyce: Yes, I think some of the other positive signs, if you look at the contracting that we're doing for negotiated rates and for others, that's -- the rates are up for that. That's a good sign. And so it's clearly -- while it's moving slower than we would all hope, it's clearly coming around and all the signs of sort of that recovery are there. And then, I guess, the other conventional wisdom in the industry is because it's coming slower, there's a sense then that the recovery will last longer and be extended further out. And so the issue of new construction, for example, that keeps getting pushed past dates where people are saying, okay now, we're going to start to seeing a lot of inventory coming in. But right now, even with what's under construction, it's not that significant. So you're really looking at no real big supply increases probably until '16. And so as a result, people are pretty bullish about the performance of existing hotels going forward, barring something unforeseen.
Operator: [Operator Instructions].
Stephen P. Joyce: All right. Well, that will conclude our call. We appreciate your time and attention. Enjoy the rest of the summer.